Operator: Ladies and gentlemen, thank you for standing by and welcome to the BIOLASE 2015 First Quarter Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation the call will be open for questions. [Operator Instructions] For the benefit of those who maybe listening to the replay, this call was held and recorded on April 30, 2015. I would now like to turn the conference over to Rene Caron of Allen & Caron. Rene, please go ahead.
Rene Caron: Thank you and good afternoon, everyone and welcome to BIOLASE's conference call to discuss its result for the first quarter ended March 31, 2015. On the call today is BIOLASE's President and CEO, Jeff Nugent; and David Dreyer, Chief Financial Officer. Jeff will begin the call with a discussion on the status of the strategic changes the company began implementing early in the third quarter of last year and the progress that has been made and David will run through the company's financial results in comparisons to prior period. After David's discussion, Jeff will make some closing remarks before we open the call to your questions. Please be aware that a number of forward-looking statements will be made during this presentation, including forward-looking statements regarding our strategic initiatives and financial performance. Forward-looking statements are any statements that are not historical facts and can be identified by words and phrases including, will, may, believe, estimate, project, plan and similar words or phrases. These forward-looking statements are based on BIOLASE's current expectations and are subject to a variety of risks and uncertainties that could cause the company's actual results to differ materially from the statements contained in this presentation. These risk factors are discussed in the company's filings with the SEC. BIOLASE cautions you that any forward-looking statements and information provided is not a guarantee of future performance. Any forward-looking statements represent the company's views only as of today and should not be relied upon as representing our views as of any subsequent date. A replay of the call will be available on the BIOLASE website shortly after the completion of todays. Again for those who maybe listening to the replay, this call was held and recorded on April 30, 2015. When listening to this call please refer to the news release issued earlier today announcing the company's results for the first quarter ended March 31, 2015. If you do not have a copy of the news release, it is available in the investors section on the BIOLASE Web site at www.biolase.com. The company's results for the first quarter ended March 31, 2015 can also be found in the company's quarter report on Form 10-Q, which the company plans to file with the Securities and Exchange Commission on or about Friday, May 1, 2015. With that, I'm pleased to turn the call over to Jeff Nugent. Jeff, please go ahead.
Jeff Nugent : Thanks Rene and good afternoon everyone. I want to thank you for joining us and welcome all of you to the BIOLASE 2015 first quarter conference call. I am pleased to begin today by saying we continue to make steady substantial progress and the transformation of BIOLASE. It is particularly gratifying to see the progress we made during the first quarter and revitalizing the core franchise of the company, our laser business. The growth in our laser business reversed the long term decline and I believe it is the solid indications that are focus on quality innovation and customer satisfaction is beginning to show. Our revenues for the first quarter were 10.9 million which did not meet our expectations. David will elaborate on this point later in the call. The primary reason was increased focus on our core laser business and away from the imaging franchise. While we believe our laser business is an important revenue driver going forward, we also expect to revitalize our focus on our imaging products through the balance of the year. As I've said in the past we continue to transform BIOLASE from the ground up and to take advantage of its enormous potential and are virtually on tap market. Given our global reach and leadership in dental lasers worldwide. We've made a commitment to successfully execute against our three most important operational pillars, customer satisfaction, quality in everything we do and disciplined innovation. Our goal is to build sustainable top and bottom line growth one quarter at a time. One of the highlights of the first quarter was the very well received launch of our new laser system, the soft tissue WaterLase iPlus 2.0 accompanied by our breakthrough and exclusive Practice Growth Guarantee. Along with our new EPIC X dialed laser which we launched late last year these are good example of the new BIOLASE. They are unique products that demonstrate to the dental profession the strength of our product portfolio, the discipline innovation on our research and development and our commitment to quality. As I mentioned the new WaterLase iPlus 2.0 and a guarantee also helped reverse a two year negative trend of sales in our WaterLase product line. Worldwide WaterLase unit sales increased by 9% over the first quarter 2014 and international laser WaterLase revenue increased by 10%. Despite international currency pressures and decline in revenues in Canada. Revenue from our domestic EPIC soft tissue diode lasers also increase up 38% over last year first quarter along with a 44% increase in unit sales. These are substantial milestones for us considering the importance of our soft tissue laser business and the flag ship WaterLase franchise. Again I believe these successes are good indicators for the future. We're pleased to see growth in revenue and our consumable products such as tips, gels and hand pieces. A key part of our strategy is to increase utilization and to build our consumable portfolio with a goal of creating a consistent recurring revenue stream. The fact that revenue from our consumable products grew by 19% over the first quarter in 2014 is encouraging. During our last call we said there are countless opportunities for growth in the international market and we believe that executing on these opportunities will increase our worldwide sales. During this year's first quarter despite severe currency exchange, rate pressure and sales decline in Canada we were able to generate a year-over-year increase in total international sales which we believe is a promising benchmark for further expansion. We're also fortunate to have strong leadership within the sales team from our three senior directors and in addition I have spent time recently with our international team and I'm impressed with the qualifications and level of passion and commitment of our international distributor network. Getting better more qualified representatives in the field in terms of sales is an important goal and I believe in other way we are making substantial progress. Hand-in-hand with increasing the quality of both our products and sales team is building and maintaining better relationships with our customers. Our recently updated customers’ satisfaction index indicates that our net promoter score, that is the net percent of our customers who would recommend BIOLASE to a colleague has approximately tripled compare to our August 2014 base line. Our goal is to do everything possible to make BIOLASE more customer centric and put ourselves and our products at the highest levels of customer satisfaction. With that I will turn the call over to our new CFO David Dreyer for closer look at our financial results. Welcome to BIOLASE, David.
David Dreyer: Thank you, Jeff. I want to start by saying that I'm thrilled to be here at BIOLASE and I'm truly excited about all of the opportunities that lie ahead of the company in the next few years. Now let's review the result of the first quarter of 2015. Net revenues for the first quarter was 10.9 million as compared to net revenues of 11.5 million for the first quarter of 2014 or a year-over-year decline of 6%. This decrease was due to a decline in our U.S imaging revenue by over 800,000 or 72% and approximately 600,000 resulting from the negative impact of foreign currency exchange rate fluctuations these negatives were partially offset by increases in revenue from consumables, license fees and royalties. Excluding the decline in worldwide imaging revenue there was a modest year-over-year increase in this year's first quarter revenues generated by our company's [oral] dental laser system business. As Jeff has already indicated we saw growth in our worldwide unit sales of WaterLase and EPIC laser revenue during the first quarter of 2015 as compared to the first quarter of last year. Gross margin for the first quarter of 2015 was 30% of net revenue as compared to gross margin of 34% in the prior year first quarter. The decline was due on a large part to the 600,000 negative impact resulting from currency exchange rate fluctuations along with the shift in our product mix within our international sales which resulted in a higher percentage of lower margin product. Also negatively impacting our gross margin through cost of sales were increases in product promotions and upgrade along with higher cost associated with the expansion in warranties on our WaterLase system. Total operating expenses in the first quarter of 2015 were $8.5 million as compared to $8.6 million in the first quarter of 2014. The slight decrease in this year's first quarter operating expenses was a combination of higher spending in engineering and development of 830,000 for product development on both new and existing products and 299,000 thousand of higher spending in sales and marketing on product promotions. These were offset by lower spending in general and administrative expenses of 496,000; primarily from decreased legal expenses and we also recorded a credit of 731,000 related to a legal settlement with the competitor. The settlement resulted from a patent infringement case where we settled for approximately 1.4 million, with the 731,000 credited to operating expenses to reflect the reimbursement of legal expenses that we had incurred in prior years when we were challenging this case. The net loss for the first quarter of 2015 was 5.4 million or a loss per share of $0.09 as compared to a net loss of 4.9 million, or a loss per share of $0.13 in the first quarter of 2014. There was no interest expense in this year’s first quarter results. However, there was the provision for income taxes of 47,000. After removing that non-cash depreciation and amortization expenses of 158,000 and non-cash stock-based compensation expenses of 700,000. The non-GAAP net loss for this year’s first quarter totaled 4.5 million or a loss of $0.08 per share, compared to a non-GAAP net loss of 4.1 million or $0.11 per share for the first quarter of 2014. I’ll now cover our liquidity and capital resources. As of March 31, 2015; BIOLASE had approximately 33.2 million in working capital. Cash and cash equivalents at the end of the first quarter of 2015 were 23.7 million, compared to 31.6 million on December 31, 2014. Net accounts receivable totaled 9.8 million at March 31, 2015 as compared to 9.0 million at December 31, 2014. While we still have ways to go to return back to growth and profitability, the first quarter’s results confirm that BIOLASE still offers the best quality laser systems available on the dental market. Our recent efforts re-prioritizing the company’s attention to providing customer service, technical support, and training and education, and of course effective quality standard are putting BIOLASE back on track as the leader of the world wide dental laser market. With that I’ll turn the call back to Jeff.
Jeff Nugent: Thanks David. We haven’t meets to the complete transformation of this company. It started last summer with new reconstituted and more experienced Board of Directors and the new Senior Management team. More recently it has included a new focus our product quality and innovation demonstrated by our new soft tissue laser EPIC X and the all tissue WaterLase iPlus 2.0 with our first ever Practice Growth Guarantee. And now we’ve made further progress in rebuilding our sales team and our relationship with our customers. Always taking the extra steps necessary to ensure they have the highest levels of satisfaction with us and that we exceed their expectations. We believe the progress we are showing specially in revitalizing our laser franchise demonstrates that we are on the fundamental path towards creating a new dental experience for both dental professionals and their patients and the new disciplined and innovative BIOLASE with the bright and prosperous future. I’m pleased to say that we are getting there. Now I’d like to turn the call over to the operator for questions. Operator, can you start?
Operator: Thank you. [Operator Instructions] Our first question comes from Kathleen McGrath with WallachBeth. Please proceed with your question.
Kathleen McGrath : Just starting now with one housekeeping, could you breakout the component to product and service sales and then also the U.S. breakdown?
Jeff Nugent: Sure. The U.S. international breakdown was basically 44% revenues in the U.S. 45% international, that’s a little different than our historical mix, we usually been about 60% U.S. 40% international. The service is breakdown, we don’t normally get that kind of detail but our combined consumables and service revenue makes a relatively small portion of our overall revenue, but we don’t normally get that breakout.
Kathleen McGrath : Could you give a little bit more color on what the imaging sales were potentially?
Jeff Nugent: Imaging sales normally would make us something closer to about 10% of revenues in both markets or in a combined basis. And this quarter it definitely came shorter of that, again we've explain that the short fall is at least $800,000. So it’s a still meaningful part of our business even though it's overall been about 10%.
Kathleen McGrath : And within the sales team how turnover stabilize at this point? And how many members are there on the team and what percentage of that are new hires?
Jeff Nugent: Turnover has actually increased because as we've said before we are in a process of upgrading our territory representative. We average first of all as reference point we have 30 territories that are spread over the United States and the average that we had filled during the first quarter was 28. So it's clearly an increase from where we were in the back half of last year. We are currently in a process of increasing that by four additional people and frankly we continue to look at this for what the right number of representatives really is. But the key answer to your question is that during the first quarter we were up significantly from prior year.
Kathleen McGrath : And how many other reps stayed on throughout the choppiness in the business?
Jeff Nugent: That’s a good question I don’t have the exact numbers in front of me. But what I'm quite familiar with is that we essentially maintained approximately a third other representatives that were with us before the administrative change and that we have refilled approximately two thirds of those positions. And may be a bit misleading because we didn’t have all territories filled. So what we are really saying that is that we have increased or added approximately two thirds to our sales representatives and the criteria frankly is increased quality productivity and I am encourage by the speed with which some of these new hires are actually showing productivity.
Kathleen McGrath : Yes that makes sense. Then there is a pretty meaningful jump in cost of goods sold and I understand that comments that you made. But what additional sources are there kind of from margin improvement outside of just stronger top line growth in we’re all pushing for. And with the increased spending really did to the executive changes and the new hires, where could we look for signs of additional margin improvement?
Jeff Nugent: Well we have said before Kathleen is that our target for the end of the year is in the mid 40% range for gross profit. And there are lots of just basics that go into that. And as David said currency exchange exit, there are number all of those things get affected. But we have a very solid operation and supply team in place today. So what we are going to see is more efficient vendor relationships, we're going to see a switch in product mix and it’s something that we're taking very seriously, that business of this nature should really began in the mid 40% range with upside from there.
Kathleen McGrath : And then quickly on follow to that. Is the mid 40% range effected it all by the stronger dollar?
Jeff Nugent: Certainly it is and that’s going to have some impact. And while we can't predict we noticed that the ratio did take an adjustment this past week. But you know as well as I do that there is no forecasting currency exchange rates.
Kathleen McGrath : And just so kind of thing about is as the target still mid 40% range at this point in time?
Jeff Nugent: I am holding to that target, yes.
Kathleen McGrath : Okay and last one just because I have to ask it. Are there any comments that you guys would like to make regarding latest press release from [Federico] with the target that you put out there for the year or is just noise?
Jeff Nugent: The only comment I would make is that we are focused on building BIOLASE to be the best laser company in the world.
Operator: Our next question comes from [Chip Baywood, AWH Capital]. Please proceed with your question.
Unidentified Analyst: Competitively, I just want to ask are you seeing a hard tissue laser on the market from I guess called [Saleya] and how does that compares in terms of cutting speed and price point with what you have?
Jeff Nugent:
Q - Chris Sassouni: I just wanted to know at this point give the amount of turnover that you've had on the sales force. What is the -- at this point the average tenure year of the sales force I would imagine that it's fairly short. And what I'm trying to get at is just the opportunities for improved productivity in other words where are we in terms of the productivity improvement cycle that you would expect from a relatively new sales reps?
Jeff Nugent: There are two parts of that question. First part is that we have 14 of reps who have between -- who are within their first year. We have another 4 who are between their first and second year. So the balance is really those people who have been here two years or more. And what we're encouraged by is that the productivity of some of these new reps exceeded our expectations and we have a number of examples where these are individuals who have gone out and on first visit and I know you understand this business; on first visit with the customer we're actually closing deals. As far as increasing productivity I think this is just going to continue to improve as this people get more experience, understand the technology better and frankly take advantage of the new products we have already launched and the ones that are in our pipeline.
Chris Sassouni: So, right, am I understanding this correctly that you have a total of 30 reps or less than that?
Jeff Nugent: No, we average 28 reps out of 30 during the first quarter. To answer your question specifically, we just had two other replacements where we are replacing a total of four reps frankly as quickly as we can.
Chris Sassouni: And then just to have an idea on what the potential is for the investment that you've made in these reps. What should the -- in your opinion, what should the revenues per rep be? When you've got, let's say more than two years of tenure?
Jeff Nugent: Out target is in excess of $1 million per rep and frankly it is -- it varies by territory of course. But we're really looking at between 1 million and approaching a 1.5 million per rep.
Chris Sassouni: And the next thing on the rep side is, do you still have the inside reps still in place and how many of them are there? And where they influential and driving consumable revenues this quarter?
Jeff Nugent: Yes, we've got a total of 3 on staff at the moment and they were productive in a couple of areas. I think one was they helped generate that 19% increase in consumables, which is strategically very important to us. They were also productive in selling the diode laser. In addition to generate leads for the all tissue laser that were passed on immediately to the field.
Chris Sassouni: And then to have this kind of growth in the diode lasers for the [indiscernible] seems pretty remarkable because, A the dental market isn’t growing that fast. B, there is other competitors so I'm curious is to how you were able to position the [indiscernible] because it's been around for a while, to generate that kind of growth?
Jeff Nugent: I think the primary reason is that we've made such a substantial increase in quality that the performance has really opened the door for more interest. And it really represents one of the highest quality diode lasers in the market. So we're really quite proud of that and as you know we've also increased some functionality; but we're rebuilding and to our leadership position as you know, as the world's largest manufacturing supplier dental laser, including diode.
Chris Sassouni: Last question that I have is just a status of the supply chain and where that stands in your journey to improve not only quality but obviously bring down the cost of goods sold. And if there is still lot of work to be done or is the improvement in gross margins really going to come primarily now from increased volume and absorption of overhead?
Jeff Nugent: It's really going to come from places Chris, I think one is certainly the increased volume on the learning curve. And I think the other is we introduced new products; there is an inherent lack of efficiency with first unit of the line. So in the case both the diode as well as the all tissue laser as we get more experience and build in cost improvement programs on both of those, that’s going to be a primary driver of reduced cost of goods and increased gross profit. But we have a number of other strategies that we’re implementing they are going to add to that objective.
Chris Sassouni: And are all the issues with suppliers, the primary suppliers all resolve because at one point in time it was not in the best of shape, meaning that there was in terms of the terms that they were offering to BIOLASE weren’t optimal.
Jeff Nugent: That’s an understatement, we’ve cleaned all that up and with the fund raising that we accomplished last year we are current with all vendors, our vendor relations are completely different from what they were at second quarter of 2014.
Operator: Our next question comes from Paul Bornstein with Black Diamond. Please proceed with your question.
Paul Bornstein : Thanks I’m glad here starting to make a little different. I have two questions, one on the education of dentist that you saw the very, very small percentage of dentists that are looking at the laser and I’m wondering how do you get them to realize that this is a great opportunity -- I know you have a guarantee out there, but I’m not sure where dentists stand in terms of trying to look at this new product versus doing their standard business line which they don’t like to change. So I’m just wondering whether you’re getting into some tough situation to try them to notice the product, obviously there is going to be some dentist that are on board. So I’m just trying to understand that part of the process. And then secondarily, burned a lot of cash in the quarter, 8 million, which is significant. And I’m wondering if that is going to slow down and when do you think you will be cash flow positive so the burn rate won’t go down unless there’s some other thing you’re using cash for versus the operation?
David Dreyer: Let me answer that, this is David. If cash flow -- you are right, when you look at the run rate we basically went through almost 8 million -- 7.8 million to be exact during the quarter and if you go back and look the fourth quarter, we went through about 6 and the third quarter was about 7.6. Clearly, there has been -- the earlier question points out, there is problem with vendors and other matters, when you look back at third quarter and fourth quarter there were some large payments paid, we’re clearing out payables and that’s an area that need to be caught up. So there was almost 2.5 million to 3 million of just payments made in the fourth quarter and the third quarter there was a credit line facility that was almost 3 million that was paid down as well. When you basically start rolling forward in the first quarter there was still about $1 million of payables that were in essence paid down during this first quarter as well. So it did carry in to this first quarter’s numbers. So when you adjust those catch-up payments and onetime payment, basically we are on a run rate that’s pretty close to -- it’s been about $1.5 million to $2 million a month. There is a couple of key reasons why we are basically -- if we wanted to manage it down at 1.5 million you wouldn’t make as investments in the future, when we’re rounded at 2 million, it’s largely about making investments in our product and development. There are future products that we’re working on, so that’s kind of an important investment that we’re making. So you’re not going to see us at the same rate as we’re going to clear up these catch-up adjustments, that’s what I call them. It should get back more the rate I’ve discussed, 1.5 million to 2 million per month. Your other question was basically about getting to a breakeven point. It is in our goal, we don’t give guidance, but it’s clear in our goals that by this end of this calendar year that we do get to cash flow breakeven which simply mean our cash inflows covers our cash outflows. So that is the clear objective for the business to achieve by the end of this year.
Jeff Nugent: Paul, let me answer your first question I think it’s an important one and that is our strategy for breaking through the [iconic glass] and the dentist who are either not aware of lasers or are skeptical. And we think that our 2.0 with Practice Growth Guarantee is really providing a much more solid basis for investment and they’ve seen before, because it’s logical that when you’re looking at a new technology there are significant questions about, am I going to get a return on this investment or not, and we work very closely with the dentist and we use their information and based on that they determine the number of incremental procedures that they’re going to be able to provide, the fewer number of referrals to other specialist and make a much more compelling argument that we follow up on and guarantee that they are going to get a return on the investment that they put into our laser. So that cuts through marketing and strategy and everything else, it’s just logical and commonsense and we've got a very positive response so far.
Paul Bornstein : Okay at some point you've cleaned up the mess that was there on the pay lows and you change around the sales force. So at some point we should see significant sales growth because we haven’t seen that since -- for years, and years. So it looks like you're getting to be on track where you can see a job and not a compression against a real weak quarter. You guys should have a run rate of at least 60 million, that’s the starting point because we haven’t seen that for quite a while with BIOLASE, et cetera, 60 million run rate. So given all those technology and the advances should start seeing that kicking at some point and it shouldn’t be a drift kick in, it should be a huge kick in, but that what it is sees like.
Jeff Nugent: Paul, I can't argue anything you just said, but again we're not in position to giving any forward guidance. But thank you for your questions.
Operator: Our next question comes from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Just one follow up, I want to ask about the perio opportunity. How much in terms of revenues are general practitioners referring to periodontist and is there some opportunity for your dentist, can they perform more perio procedures in house and essentially lose less business to the periodontists. Thank you.
Jeff Nugent: It's a bit of loaded question but I'll answer directly. I don’t have the precise number of procedures that general dentist refer to periodontist. What we do know is that the ability to perform periodontal procedures -- soft tissue procedures and office with a laser is much more capable of providing those procedures with our particular lasers. So one of the basic assumptions and the advantage of BIOLASE is that it allows general practitioners in particular to handle those perio procedures and unless they’re extreme. But at the same time we have a very strong relationship among periodontists which will see our wave length and the protocol is that we have spent a long time developing, make the procedures that they perform yield better outcomes. So I'm not giving you any real numbers, but I’ll give you this one and that is, it is commonly expected that over 75% of doubts have periodontal disease and varying stages of that and as the demographics and population increases there is an significant increasing demand for periodontal work and one of our objective is to provide the best equivalent possible for both those specialist as well as general practitioners who no longer need to refer out nearly as many as they did.
Operator: Our next question comes from [indiscernible]. Please proceed with your question.
Unidentified Analyst: The question I have is, on the last call you were talking about new distribution channels in Europe. And I just wanted to find out your sales were strong in the Europe of WaterLase what country? Was it primarily Germany? And were you seeing as across the board and how do you know? And second part of the question is, in spite of the currency how are you gaining sales there?
David Dreyer: Well let me answer, there are two parts of that. I think the overall strength in the first quarter and international in Europe particular came from the reception to the 2.0 practice assurance product that we launched. And I was more pleased with the reception that we got than I expected. So it had universal appeal both to dentist based in Europe as well as the 50 plus distributors we had attend the largest dental showing the world in March, where they understood the advantages that our new product provides and that -- while most of our international business is conducted through distributors the major markets in Europe are primarily UK and Italy. Germany represents the largest potential and we are in the very middle stages of rebuilding that and reinforcing that with a direct strategy.
Unidentified Analyst: Yes, very well. And I guess the other question I would have is, you mentioned distributors, were most of these sales to the end user or were some of them sales to the distributors which will then go to the end users?
David Dreyer: The way the international dental show works is once every two years and it’s where all new products are introduced and it dwarfs the dental conventions here in the United States; that the nature of it is that distributors from all over the world, come to the show. Therefore the majority of our purchases in the first quarter were two distributors, period. That does not diminish the enthusiasm and purchase response that we receive from local European dentist, but this was clearly an opportunity for distributors to bring on something that they believed in.
Unidentified Analyst: And some of the initiative the fact that you’ve done such a great job of turning your customer satisfaction around, can you go into a little detail of what some of the initiative besides the Practice Guarantee? What things you have done with quality; obviously, but what you account for the huge turnaround there?
David Dreyer: Well, actually the turnaround preceded the launch of the 2.0 and the Practice Guarantee. So I don’t want to make any forecast here but I wouldn’t be surprised if we saw that jump from where we are now. But the gains that we’ve see are really coming from the significant increases we’ve made in quality that cover all of our products and when we first came in it was very clear that shipping products with the level of complaints that we had was just unacceptable. So we stopped shipping until we fixed it. The same thing happened with our all tissue laser and we’ve spent an enormous amount of research strengthening the components, increasing reliability, et cetera. And the only other thing that I can really point to as driving that net promoter score up is the attention we’re paying to customers that is significantly different from what we did before. So those are the two major things that have really tripled the base line and I expect it to continue to grow from here and I’ll be disappointed if it doesn’t grow dramatically.
Unidentified Analyst: Congratulations and my last question is, dental shows -- these large conventions, are there plans for attending or being at any coming up in the next six months?
Jeff Nugent: Yes, there is. The major ones occur in late fall, that three majors are in Chicago in November, The American Dental Association which is around the same time and Greater New York is also in that timeframe but there are a number of local state wide factors, there is a California Dental show today, where we have several people attending. So there are meaningful shows going on around the country and I’m sure it’s available on the website and we need to do better job of including that on our home page which we’re going to do starting immediately.
Jeff Nugent: Okay. Well, thank you all for your questions. Thank you, operator. Before we close the call this afternoon I’d like to once again restate our firm commitment to deliver improved value to customers, our employees, shareholders and stakeholders. We remain fast in our belief. Then we have the necessarily focused and initiatives underway for the successful transformation of BIOLASE. Our entire team is enthusiastic about the progress we are making. While there will always be challenges ahead and we know there will be I’m confident that we can deliver on the promise of BIOLASE. Thank you for joining us today, I also want to thank all of our employees for their commitment and passion and their successes; as well as to our shareholders for your continued support. I look forward to joining you again on our next conference call when we report our results for the second quarter of 2015. Thank you all very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. Thank you for your participation. You may disconnect at this time.